Operator: Good afternoon. My name is Jay, and I will be your conference operator today. At this time, I would like to welcome everyone to Adobe's Q4 Fiscal Year 2013 Earnings Release Conference Call. [Operator Instructions] Thank you. I would now like to hand the call over to Mr. Mike Saviage, Vice President of Investor Relations. Please go ahead, sir.
Mike Saviage: Good afternoon, and thank you for joining us today. Joining me on the call are Adobe's President and CEO, Shantanu Narayen; as well as Mark Garrett, Executive Vice President and CFO. In the call today, we will discuss Adobe's Fourth Quarter and Fiscal Year 2013 Financial Results. By now, you should have a copy of our earnings press release, which crossed the wire approximately one hour ago. We've also posted PDFs of our earnings call prepared remarks and slides, our financial targets, and an updated investor data sheet on adobe.com. If you would like a copy of these documents, you can go to the Investor Relations page and find them listed under Quick links. Before we get started, we want to emphasize that some of the information discussed in this call, particularly our revenue, subscription and operating model targets, and our forward-looking product plans, is based on information as of today, December 12, 2013, and contains forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the Forward-Looking Statements Disclosure in the earnings press release we issued today, as well as Adobe’s SEC filings. During this call, we will discuss GAAP and non-GAAP financial measures. A reconciliation between the 2 is available in our financial targets document and in our updated investor datasheet on Adobe’s Investor Relations website. Call participants are advised that the audio of this conference call is being webcast live in Adobe Connect, and is also being recorded for playback purposes. An archive of the webcast will be made available on Adobe’s Investor Relations website for approximately 45 days, and is the property of Adobe. The call audio and the webcast archive may not be re-recorded or otherwise reproduced or distributed without prior written permission from Adobe. I will now turn the call over to Shantanu.
Shantanu Narayen: Thanks, Mike, and good afternoon. Our objective in fiscal year 2013 was to establish leadership in the explosive Digital Media and Digital Marketing categories. I am pleased to report we exceeded the key targets we outlined at the beginning of the year. Through the innovation we’ve delivered to our customers, we were able to beat our annualized recurring revenue goal in Digital Media and exceed $1 billion in Adobe Marketing Cloud revenue. More importantly, we have set the stage with our market-leading offerings for accelerated growth. In Q4 we delivered revenue of $1.04 billion, contributing to total revenue of more than $4 billion in FY13. In Digital Media, we continued to make great progress with our Creative Cloud service. As of the end of Q4, Creative Cloud adoption grew to over 1.4 million subscriptions, exceeding our original target of 1.25 million for the year. Creative Cloud members are receiving a constant stream of new features, products and services each month, and customer satisfaction is high based on our surveys. In addition to paid members, we currently have millions of customers in the pipeline who are trying out the service. In addition to success with Creative Cloud for individuals, Creative Cloud for teams and enterprise term-based licensing, or ETLAs, also had strong results in Q4. Teams of creatives are realizing the benefits of collaboration, and enterprises are increasing their adoption due to simplified licensing models and integration with Adobe Marketing Cloud’s digital asset management capabilities. As a result of the strong subscription uptake and increased enterprise adoption, total Creative annualized recurring revenue, or ARR, grew by $219 million in Q4. The Creative Cloud offering continues to evolve to ensure that we are satisfying our existing subscribers and attracting new members. In September, we introduced the Photoshop Photography Program, providing Photoshop and Lightroom via Creative Cloud to professional photographers and hobbyists at an affordable monthly price. Uptake on this offer has been strong, and we believe adding these users is accretive to our long-term goals. We continue to build momentum with our digital publishing business, with more than 150 million digital editions delivered to consumers through app stores. This week, we announced that we will be publishing the technical specification for our .folio format, which will further accelerate digital publication adoption. Having established leadership with major publishers, we are now focused on enabling corporate brands like AIG, Prudential, REI and Pacific Life to create tablet apps for use cases such as sales enablement, and company magazines and brochures. In our Document Services business, Acrobat continued to perform well, with our online document services continuing their strong momentum. We have now surpassed 1.6 million Document Services subscriptions. EchoSign adoption continues, with brands including Volvo, Mary Kay Cosmetics and Citi. Combined with Acrobat ETLAs, Document Services ARR grew to $143 million exiting Q4. Total Digital Media ARR grew to $911 million as we exited the year, surpassing our original and most recent targets of $800 million and $875 million, respectively. In our Digital Marketing business, we achieved 38% year-over-year revenue growth with Adobe Marketing Cloud in Q4, with total annual revenue of more than $1 billion in FY '13. We continue to have the most comprehensive offering in the market for chief marketing officers, chief revenue officers, advertising agencies, publishing executives and digital marketers. Our growth is coming from new logos, as well as increased adoption of our 6 solutions, which is increasing our revenue per customer. We continued to deliver significant innovation to Adobe Marketing Cloud customers during Q4, including major updates to Adobe Analytics, Adobe Campaign, Adobe Social and Adobe Target. We made progress in our integration of Adobe Campaign, our cross-channel campaign management solution that came through our acquisition of Neolane. We became the first cross-channel campaign management provider to charge based on customer profiles instead of email CPMs. This will give marketers a more cost-effective and broader campaign management engine. As we meet with senior-level digital marketers around the world, we hear the same themes: They are challenged by the growth in the amount of digital content that needs to be created, published and personalized; The need to replatform their web infrastructure to support mobile devices and social platforms; and the complexity of managing campaigns effectively across media, channels and devices and the need to quantify marketing ROI with data. We know that customers don’t want to be burdened with stringing together point solutions. With the most complete, integrated digital marketing offering, and a long history serving marketers, publishers and agencies, we believe Adobe is in the best position in this space. In summary, 2013 was an outstanding year. Now, I’ll turn it over to Mark.
Mark S. Garrett: Thanks, Shantanu. Our earnings report today covers both Q4 and fiscal year 2013 results. I’m also going to spend some time discussing targets for next year and beyond. In FY '13, Adobe achieved revenue of $4,055,000,000. We had an amazing year in transitioning our Creative business to a subscription model, and building a fast-growing, market-leading Marketing Cloud business. Key financial highlights from the year included: Exiting the year with Digital Media ARR of $911 million; surpassing $1 billion in Adobe Marketing Cloud revenue; growing deferred revenue to a record $829 million; returning $1 billion in cash to stockholders through our stock repurchase program; and building a more predictable revenue stream. In Q4, approximately 44% of our revenue was recurring, up from approximately 27% in Q4 of last year. In the fourth quarter of FY13, Adobe achieved revenue of $1,042,000,000. GAAP diluted earnings per share in Q4 were $0.13. Non-GAAP diluted earnings per share were $0.32. Highlights in the quarter included: Adding more than 400,000 net new Creative Cloud subscriptions; growing Digital Media ARR by over $250 million; driving 38% Adobe Marketing Cloud year-over-year revenue growth; and increasing deferred revenue by $95 million to a record $829 million. In Digital Media, we achieved revenue of $631 million. This segment has 2 major components of revenue: our Creative family of products and our Document Services products. In our Creative business, customer adoption of Creative Cloud accelerated. We exited Q4 with 1,439,000 paid Creative Cloud individual and team subscriptions. This performance was driven by continued strong adoption of Creative Cloud for individuals and from Creative Cloud for team subscriptions, which grew 62% quarter-over-quarter. The special Photography offer launched in September helped drive new customer acquisition. In addition to the overwhelming majority of individual subscriptions being transacted on our website, we are also seeing a larger percentage of Creative Cloud for team customers choosing to transact on adobe.com. Creative Cloud ETLA momentum accelerated in Q4. In the year, we closed more than 1,000 Creative ETLA contracts of greater than $100,000, with more than 80 contracts over $1 million. As a reminder, ETLAs are generally 3-year contracts. Combined, our success with subscription and ETLA adoption helped to drive Creative ARR to a total of $768 million exiting Q4, an increase of $219 million quarter-over-quarter. Our strategic goal continues to be to accelerate adoption of Creative Cloud, and we are focusing all of our innovation there. We added over 500 new and enhanced features to Creative Cloud in FY '13, which is driving higher customer satisfaction. In addition to promoting the value of Creative Cloud, we are using a variety of targeted promotions to drive awareness, consideration and purchase. This strategy is working and helped to drive our strong subscription and ARR results during the year. In Q4, overall monthly Average Revenue Per User, or ARPU, declined slightly from prior quarters, consistent with our desire to drive customer acquisition. As we make further progress of migrating our large base of users to Creative Cloud, we intend to deliver enhanced value and new services, which will help grow ARPU over time. Creative Cloud members continue to renew as their introductory pricing expires, and overall Creative Cloud retention continues to be above the rate we originally modeled. As of the end of Q4, 96% of Creative Cloud subscriptions are annual plans versus month-to-month. Our successful Photography offer targeting professional and hobbyist photographers drove the percentage of single-app subscriptions to grow slightly. In Document Services, we achieved revenue of $198 million in Q4. Our success in this category is being driven by continued adoption of Acrobat, Acrobat ETLAs, Acrobat cloud services and our EchoSign e-signing contract solution. Document Services ARR grew from $106 million exiting Q3 to $143 million exiting Q4. In our Digital Marketing segment, there are 2 components. The first is revenue from our Adobe Marketing Cloud offering; and in Q4, we achieved Adobe Marketing Cloud revenue of $316 million, representing year-over-year growth of 38%. We also drove strong bookings in the quarter. Total transactions managed by all our Marketing Cloud solutions grew to more than 5 trillion in Q4. Mobile device use continues to be a driver in our Digital Marketing business. Mobile transactions increased to 33% of total Adobe Analytics transactions, up from 28% last quarter. Our focus on solution selling and Digital Marketing has been a big catalyst for the business this year. The size of our engagements with customers has grown substantially, and new customer acquisition has also been a big driver for -- of our Adobe Marketing Cloud growth. In FY '13, we closed more than 70 contracts of greater than $1 million. The second component of our Digital Marketing segment is revenue from the LiveCycle and Connect businesses, which contributed $48 million in Q4 revenue. We recently introduced a path for LiveCycle customers to migrate to our Adobe Experience Manager offering. We believe this enhances customer satisfaction and provides an Adobe Marketing Cloud upsell opportunity. As a result, we expect LiveCycle revenue will continue to decline, while Connect revenue will remain relatively flat. Print and Publishing segment revenue was flat quarter-over-quarter, consistent with our expectations. Geographically, we experienced stable demand across our major geographies. From a currency perspective, quarter-over-quarter FX rate changes had a $4.6 million positive impact on reported revenue. Hedging gains contributed $3.1 million to revenue in Q4 FY '13 versus $10.5 million in Q3 FY '13, thus the net sequential quarterly currency decrease to revenue, considering hedging gains, was $2.8 million. Year-over-year, FX rate changes had an $11.8 million negative impact on reported revenue. Comparing the $3.1 million in Q4 FY '13 hedging gains to the $2 million of hedging gains in Q4 FY12, the net year-over-year currency decrease to revenue, considering hedging gains, was $10.7 million. In Q4, Adobe’s effective tax rate was 26% on a GAAP basis, and 21% on a non-GAAP basis. The GAAP rate was higher primarily due to taxes accrued as a result of the completion of certain income tax examinations during the quarter. Employees at the end of Q4 totaled 11,847 versus 12,035 at the end of last quarter. The decline was primarily due to summer interns returning to school. Our trade DSO was 52 days, which compares to 49 days in the year-ago quarter and 48 days last quarter. Our DSO inched up due to record deferred revenue exiting the quarter. Cash flow from operations was $315 million in the quarter, and our ending cash and short-term investment position was $3.17 billion compared to $3.16 billion at the end of Q3. In Q4, we repurchased approximately 7.9 million shares at a total cost of $405 million. Now I would like to go over our financial outlook. Before discussing our targets in fiscal 2014, we want to provide additional color around our long-term growth rates and earnings potential. We are thrilled with our success to date in transitioning our business to a model that includes more recurring revenue and predictability and, at the same time, is enabling us to target higher top-line growth. This includes moving our Creative business to a growth-oriented subscription model, as well as building and driving a high-growth SaaS business in Digital Marketing. As a result of our momentum in both of these businesses and our belief in our ability to execute on and seize these 2 large opportunities, we are raising our long-term revenue growth targets in both areas. In our Digital Media segment, customer adoption of Creative Cloud is proceeding more quickly than we anticipated. Subscriptions and ARR have grown faster than expected and, as a result, perpetual Creative revenue has fallen off more quickly. As such, we are targeting an annual Digital Media revenue compound annual growth rate of 20% between FY '14 and FY '16, using FY '14 as the base year. This is higher than our most recent target, which was 15%, or greater revenue growth in just the Creative part of the Digital Media segment for the same period of time. In our Digital Marketing segment, we are increasing our targeted annual revenue and bookings growth rates for Adobe Marketing Cloud. Between FY '14 and FY '16, we now believe we can achieve a 25% revenue CAGR, driven by annual bookings growth of 30%. These targets replace our prior goals of at least 20% growth for revenue and 25% growth for bookings respectively. Our confidence in increasing these targets is based on our strong execution, our increased investments in the business and the large addressable markets we are focused on with our Adobe Marketing Cloud solutions. These increased growth rates in Digital Media and Digital Marketing are enabling us to target total Adobe revenue growth of 20% on a CAGR basis between FY '14 and FY '16, with FY '14 as the base year. To drive this substantial growth, we will continue to invest in the business. During the transition, while reported revenue has declined, it has been more than offset by growth in ARR. We believe ARR will continue to grow, and reported revenue will increase sequentially beginning in the second half of FY '14. Margin and earnings growth will follow, consistent with the leverage in our operating model. Based on this, we expect non-GAAP earnings per share of approximately $2 in FY '15, and at least $3 in FY '16. Now I’d like to discuss fiscal year 2014 in more detail. Within our Digital Media segment, our Digital Publishing Suite revenue and bookings grew substantially in FY '13, with exiting ARR of $33 million. We expect ARR in this business to double next year, and we will include DPS ARR as part of our Creative ARR starting in FY14. Given the transition to subscription with Creative Cloud has gone more quickly than anticipated, we expect more ARR and less perpetual revenue in FY '14 than we last forecast. We now expect FY '14 will be the last year of any meaningful Creative perpetual revenue, and Creative reported revenue will decline year-over-year as we grow Creative ARR to $1.6 billion. Our Creative ARR target is based on growing Creative Cloud subscriptions to 3 million by year end and includes DPS. We also expect to overachieve the 4 million subscription target we had originally set for the end of FY '15. We expect Document Services ARR to continue to grow in FY '14, driven by Acrobat ETLA adoption and growth in our Cloud-based services, including EchoSign. Factoring the move to a more ratable model, we expect reported Document Services revenue to be relatively flat in FY '14, with Document Services ARR growing to more than $250 million by fiscal year end. Combining Creative ARR with Document Services ARR, we expect to exit FY '14 with total Digital Media ARR of $1.85 billion. We expect total Digital Media reported revenue of approximately $2.5 billion in FY '14, and believe it will then grow substantially on an annual basis beginning in FY '15. In our Digital Marketing segment, we expect reported Adobe Marketing Cloud annual revenue growth of 20% in FY '14, driven by bookings growth of 30% during the year. In FY '14, we will be transitioning more perpetual revenue associated with our Adobe Campaign and Adobe Experience Manager solutions to a subscription model, consistent with the rest of our Marketing Cloud offerings. In FY '13, the substantial majority of revenue for these 2 solutions was recognized upfront on a perpetual basis. If we were to maintain the FY '13 mix of perpetual versus subscription revenue for these 2 solutions in FY '14, our Adobe Marketing Cloud annual revenue growth target for FY '14 would have been more than 25%. Finally, as I mentioned earlier, we expect total LiveCycle revenue to decline in FY '14. As a result, we expect LiveCycle and Connect revenue to decline by approximately 25% year-over-year. We expect revenue in our Print and Publishing segment to be flat year-over-year. Based on these targets and projections, we expect total Adobe revenue to be relatively flat year-over- year in fiscal 2014. We expect FY '14 GAAP earnings per share to be approximately $0.27, and non- GAAP earnings per share to be approximately $1.10. Given our top line revenue CAGR of 20% between FY '14 and FY '16, we expect to grow non-GAAP earnings from this FY '14 target to approximately $2 in FY '15 and to at least $3 in FY '16. In Q1 of FY '14, we are targeting a revenue range of $950 million to $1 billion. During the quarter, we expect to add approximately $200 million of Digital Media ARR. Given normal seasonality, we believe enterprise ETLAs will decline sequentially, and that we will add slightly fewer net new Creative Cloud subscriptions than what was achieved in Q4. Assuming the midpoint of our Q1 revenue range: We are targeting total Digital Media revenue to decline sequentially in both Creative and Document Services; we also expect LiveCycle and Connect revenue to decline sequentially; we expect Print and Publishing revenue to be relatively flat; and we are targeting Adobe Marketing Cloud year-over-year revenue growth of approximately 25%. We are targeting our Q1 share count to be 511 million to 513 million shares. We are targeting net non- operating expense to be between $18 million and $20 million on both a GAAP and non-GAAP basis. We are targeting a Q1 tax rate of 26% on a GAAP and 21% on a non-GAAP basis. These targets yield a Q1 GAAP earnings per share range of $0.02 to $0.08 per share and a Q1 non-GAAP earnings per share range of $0.22 to $0.28. We feel great about our progress against the strategy we laid out 2 years ago. Our commitment and investments in that strategy are setting us up to be the clear leader in 2 large opportunities that represent significant growth potential. I’ll now turn the call back over to Shantanu.
Shantanu Narayen: Thanks, Mark. FY '14 is going to be an exciting year. Through continuous innovation, we will build on our market-leading position in the explosive areas of Digital Media and Digital Marketing. Creative Cloud has become the preeminent creative offering, and we expect to exit 2014 with 3 million subscriptions and $1.85 billion in Digital Media ARR. Adobe Marketing Cloud crossed the billion-dollar threshold in 2013. With the most comprehensive offering in the Digital Marketing space and tremendous customer momentum, we expect to grow our Adobe Marketing Cloud bookings 30% in FY '14. At the heart of this successful reinvention are our employees. Their continued innovation, passion and dedication make all these accomplishments possible. Thank you for joining us today. Now I'll turn the call back over to Mike.
Mike Saviage: Thanks, Shantanu. We recently sent out an invitation for Adobe Summit, our annual digital marketing conference in Salt Lake City. This year, the conference will be held during the week of March 24, with the opening keynote on Tuesday, March 25. As in past years, we’re offering discounted pricing for professional financial analysts and investors to attend. We will also host a short financial analyst meeting with presentations by Adobe management and a Q&A session at the event on Tuesday afternoon, which will conclude by 5 p.m. local time. We remind everyone that Adobe increasingly utilizes blogs and social channels as a primary means to disclose important information. Investors and analysts who want to stay current on the latest Adobe news are encouraged to follow Adobe on Twitter, Facebook and YouTube, and to frequently check Adobe’s corporate blogs on blogs.adobe.com. In addition, tv.adobe.com is a great resource to learn more about Adobe’s products and solutions and find new customer case studies. Our Investor Relations website provides easy access to these resources. For those who wish to listen to a playback of today’s conference call, a web-based Adobe Connect archive of the call will be available on our IR site later today. Alternatively, you can listen to a phone replay by calling (855) 859-2056. Use conference ID #15242607. International callers should dial (404) 537-3406. The phone playback service will be available beginning at 4 p.m. Pacific Time today, and ending at 4 p.m. Pacific Time on Tuesday December 17, 2013. We would now be happy to take your questions. Operator?
Operator: [Operator Instructions] The first question comes from the line of Brent Thill with UBS.
Brent Thill - UBS Investment Bank, Research Division: Shantanu, if you could just talk a little bit about the halo impacts you're seeing from the Marketing Cloud on the Creative Cloud and vice versa? And maybe just give us a sense of what you look at in terms of penetration into the Creative Cloud with the work that you're doing there. And then I had a quick follow-up for Mark.
Shantanu Narayen: Sure. So, Brent, we are definitely seeing that, as people are thinking about all of their creative applications, the content that they want to deliver across all of these devices, we're definitely seeing more penetration, especially, I would say, in the enterprise between the Creative offerings and the marketing offerings. I think the 2 areas where we see the most synergy right now is the first in our Digital Publishing Suite and the Adobe Experience Manager. That's why we've been -- that's why we decided to actually provide the DPS ARR as well. And the second I would say is, in the digital asset management space, where people are using the new version of the Creative Cloud to store assets under digital asset management. And I would say the field has become a lot better, honestly, about presenting the entire Adobe story to all of these customers.
Brent Thill - UBS Investment Bank, Research Division: Great. Mark, your 2016 guidance implies operating margins -- I believe are back into the mid-30s. Can you just talk a little bit about your confidence in giving that number this far out? And also, why choose to let that go as high as that, given the market that we're in still emerging, at least in the Digital Marketing side? Is there potentially a thought of maybe even pushing a little bit harder on the expenses to continue your lead?
Mark S. Garrett: Yes. Thanks, Brent. Actually, we think that $2 a share in '15 and the $3 a share in '16 gives us the opportunity to invest in the business to have this growth that we've laid out be realistic. We think that gives us the room that we need to drive the business in both Digital Media and Digital Marketing. And you're right, the margin would imply in 2016 something in the 30s as you do your modeling. But again, we feel like that gives us enough opportunity to invest and do the land grab that we think is there in front of us.
Operator: The next question comes from Ross Macmillan with Jefferies.
Ross MacMillan - Jefferies LLC, Research Division: Mark, I had a question on ARPU. You commented it was down slightly, and I think we understand that it's a mix of more point products, including the Photoshop Photography program, offset by strength in Team and also customers renewing as -- and coming off promotions. I was just curious, how do you expect that ARPU number to trend in fiscal '14? And when do you think it could -- I guess I'm curious of that trend and when it could actually start to increase on an aggregate basis again.
Mark S. Garrett: Yes, Ross. The way we're looking at it right now, we've said this I think several times, that we're trying to drive growth in ARR. And we're thrilled with the $910 million we did against our original target of $800 million. We're driving more growth. Promotions are clearly a part of that and are going to continue to be a part of that, but we're growing the business, if you look at ARR and revenue combined. And we really want to focus on that ARR number right now, not just on ARPU. It is down slightly. You're right. It's going to move around with product mix and with promotions, but it continues to be more than what we got under the old perpetual model. And right now, we're focused on moving the base and driving new users, and we do think there's a significant opportunity to raise ARPU over the longer term.
Shantanu Narayen: Yes, Ross, maybe just adding a couple things, we're certainly seeing a lot of new customers being attracted to this platform, and the real benefits of the subscription model are the more customers we can get into the Creative Cloud offering. We're pretty confident, as Mark said, with new value and services. We will find new ways to continue to monetize that particular opportunity. The enterprise was off to a really strong start. I think you see that in the numbers with Q4. And so as we continue to drive people accepting Creative Cloud, we're confident that we have a lot of things on the road map that will help us continue to drive further ARPU gains over time.
Ross MacMillan - Jefferies LLC, Research Division: That's great. And maybe just a quick follow-up for you, Shantanu. I'm curious about your profile versus CPM pricing in the Digital Marketing side of the business. Can you just maybe help us understand what sort of economic dynamic that could play for customers versus the status quo?
Shantanu Narayen: That's a good question, Ross. And fundamentally, as we look at the marketing cloud, our strategy has been really to make sure that we're providing to the Chief Marketing Officer in all of these marketing enterprises, the complete dashboard. And as we think about the complete dashboard and the profile of everything that they are doing across multiple channels, the orchestration has less to do with the traffic on one channel and honestly has more to do with across all of these channels, how many users do they have and how are they providing a consistent way to have interactions with all of those customers? So I think it is fairly innovative pricing that we've introduced. I think we have the ability to rethink the right model for marketers. And we continue to believe that as those customers drive more profiles, that we will benefit from it. So it's different from the existing model. I think it comes from our strength in a multichannel offering and our ability to really, with our content play and our analytics play, upend or disrupt the current industry dynamics.
Operator: The next question comes from Walter Pritchard with Citigroup.
Walter H. Pritchard - Citigroup Inc, Research Division: For Mark, just 2 questions. I'm pretty numbers-focused here, but just on -- we're trying to get a sense of the 20% CAGR you gave on the Digital Media business. Impressive growth rates. But I guess as we look at fiscal '16, where that would put you for Digital Media revenue, and we go back and look at fiscal '11 before the transition started, if we take the 20%, we're looking at a CAGR of about 4% for that 5 years, which feels a little low to us. It feels like '16 is the year you're through the transition, and '11 was the year before you started the transition, so there should be somewhat apples to apples, and we're at a 4% CAGR for that period. Could you help us understand, is that a fair compare to look at? And why shouldn't that number be higher?
Mark S. Garrett: Yes. I don't think that's a fair compare to look at, and I might have to do this with you offline, Walter. But we do believe that, as you look at the growth in the Creative business, as we get into those out years, it's significantly above the growth that we would have had under the perpetual model back in 2007, certainly, 2007 to 2012 time frame.
Walter H. Pritchard - Citigroup Inc, Research Division: Got it. And just one follow-up on the fiscal '14. Would you be able to provide for us the -- you said by '15, all of the perpetual revenue should be gone. Can you give us some sense of what kind of perpetual revenue you're still expecting in fiscal '14, to help us sort of calibrate the model there?
Mark S. Garrett: So we haven't broken it out. One way to look at it though, is there's still -- the great majority of revenue in '13 is coming from perpetual, and the great majority of revenue in '14 will be coming from subscription-reported revenue. It's a complete shift from one to the other. The only thing I'd add is the back half of '14 has very little perpetual revenue left in it. And we really are, for the most part, out of the perpetual side of the revenue stream from a Creative perspective after the second quarter.
Operator: The next question comes from Kash Rangan with Merrill Lynch.
Kash G. Rangan - BofA Merrill Lynch, Research Division: Two parts of the question. One, Mark, when you look at the Creative ARR guidance of $1.6 billion and measure that against the Creative Cloud subscription guidance of $3 million, I'm wondering -- my math would suggest that you should probably do even higher in Creative ARR, using your old ASP assumptions. And I'm wondering if you have any discounting of ARPU that is built into your forecast that explains why the Creative revenue could not be even greater than you're forecasting. And secondly, your TAM continues to expand pretty significantly, even with your perpetual model declining. The cumulative base of folks that have bought the license at this point is probably in the neighborhood of 14 million, 15 million seats. I'm wondering, when we reach the tipping point where these folks realize that, granted that you have advanced your goal to get to 4 million Creative Cloud subscribers, at what point do these folks realize that they're sitting on outdated versions? And when do you get that big flood of subscriptions into your business? That's for me.
Shantanu Narayen: Let me take the second question first, Kash, which is, we certainly are finding that we are differentiating our current Creative Cloud offering from, as you point out, the last version of CS6. And so I think all our conversations with customers, I think they're seeing more and more innovation only on the cloud. And that's why we continue to be confident about our ability to attract new subscribers. Whether that turns into a steady stream of continued subscriptions as we modeled, or we have a further inflection quicker, we'll see. I think we're focused on driving innovation. We're focused on driving why the Creative Cloud is a better offering. And as you know, Kash, having followed us for many years, we are taking these targets very seriously. So is there upside as we continue to provide innovation? You're right. I mean, we want to take the entire install base and have them move over into the Creative Cloud offering. But we'll just have to play it out. I mean, we're pretty early in this transition in the grand scheme of things. I think the good news is it's gone better than we've expected, and I think people are seeing the value. And customer sat is higher.
Mark S. Garrett: And I was going to say something similar, Kash, to the point on ARR. I mean, we're early in this transition. We've done, I think, a phenomenal job over the past 2 years of modeling this out, and we've just given you a lot of data for the next few years. We're trying to be prudent with what that guidance looks like. There's nothing unusual that we see from a discounting perspective that's going to happen in FY '14 that we haven't seen already in FY '13.
Kash G. Rangan - BofA Merrill Lynch, Research Division: It looks like you guys will end up being one of the largest subscription revenue companies in tech.
Mark S. Garrett: Thanks, Kash.
Operator: The next question comes from Jennifer Lowe with Morgan Stanley.
Jennifer Swanson Lowe - Morgan Stanley, Research Division: Maybe sort of asking Kash's question a totally different way, if you think about your existing install base, you've got a little more than 10% now on Creative Cloud. If you think about getting through that remaining 90%, how many of those customers do you think are going to be comfortable at the price points where Team and Enterprise and individual are now? How many do think you're going to need to use more targeted offerings like the photography solutions to get them over? How many will just wait and eventually suck up the higher price? I guess I'm just trying to get a feel for -- we've seen the first 10% migrate. How many more are going to follow at these types of price points versus you having to be a little bit more tactical and targeted with solutions like the photography suite?
Shantanu Narayen: Well, the first thing I would say, Jennifer, is as you look at the install base, I think it's important to remember, in terms of the numbers that we provide, what's reflected that is also included in the ETLA part of the revenue that we provide. And so when we provide the number of people who are on the perpetual version of the product, we do include the numbers that have chosen in the prior version to do licensing business with us, which is now reflected in ETLA portions. So when you think about the 10%, it's actually higher because there's a lot of people who are actually choosing to do ETLA business with us. So I think that's important to remember. It's not in the 3 million number that we gave. In other words, the enterprise number of units is not represented within the 3 million. I wanted to just clarify that. I think people are finding more comfort with this Creative offering. And I think, honestly, our job as a company is to continue to demonstrate why this is the best offering. And that's what we are focused on. We have an attractive road map. I think in the middle of year you'll continue to see new innovations. And it is our job trying to not only move the entire install base but also to really look at the new customer acquisition, which continues to be an attractive opportunity for us.
Jennifer Swanson Lowe - Morgan Stanley, Research Division: Great. And just one quick question, the Digital Marketing business. You mentioned the 70 deals over $1 million, which is a pretty phenomenal number, what -- and obviously, that's been a focus, getting higher price points with some of the new suite solutions. How does that compare to maybe a year ago, what you were seeing in terms of wins over $1 million? Is that a pretty -- is it a doubling? How should we sort of think about that number in the context of where you've been historically in Digital Marketing?
Shantanu Narayen: It's a sizable increase, Jennifer. And the way I would describe it is, for each of the different product areas, as you know, we are about 20 product areas which moved to 6 solutions. For those who had originally transacted business with us through either an individual product or through one of the solutions, I think the upsell opportunity is still all headroom. For all of the new deals that we are providing, we're clearly messaging and trying to market the entire Creative Cloud offering, and that's where we're seeing these fairly sizable deals, some deals significantly higher than that. So we continue to think there's big opportunity in the marketing cloud, which is why we've talked about the 30% bookings. And it's a significant increase. I don't have the exact number year-over-year, but both the ETLA adoption by enterprises, as well as the million-dollar-plus deals in Digital Marketing by enterprises are significant uplifts over last year.
Operator: The next question comes from Heather Bellini with Goldman Sachs.
Heather Bellini - Goldman Sachs Group Inc., Research Division: I just had a question with -- wanted to focus on the marketing business a little bit. And I was just wondering, it seems like that space has gotten very crowded, and there's a lot of point solutions in the space right now. I'm just wondering how you're selling versus what some might claim are best-of-breed solutions? And what benefit are you seeing in your win rate as a result of having -- being one of the few vendors that actually has an integrated offering?
Shantanu Narayen: Heather, I think when I look at all of the different RFPs that we are participating in, all of the different deals that are in the pipeline, I can say with a lot of conviction that we aren't seeing one particular competitor in a number of the deals. So I think it's very clear that we are very uniquely positioned. And I think our biggest differentiation honestly in that space is both the lead that we have with the Web Experience Management or the Adobe Experience Manager solution, and the fact that we're the clear undisputed leaders with Adobe Analytics. As we've added all of the other solutions, it just I think adds to the lead and differentiation that we have. And we do see some of the point product solutions. But again, we think, like every other aspect of enterprise software, this is going to get consolidated, and we're the clear leaders in that particular space. And marketers are not going to stand for being the people who integrate all of these point product solutions.
Operator: The next question comes from Brad Zelnick with Macquarie.
Brad A. Zelnick - Macquarie Research: I'm going to ask a question I think that was already asked, but perhaps a little bit differently. If I think in the context of your strategic goals and now expecting to overachieve the original 4 million sub target set for fiscal '15, can you talk about what needs to happen for that number to be more like 5 million or 6 million? And how do you think about the trade-off of pricing for units? And what are the lower bounds for ARPU in your model?
Shantanu Narayen: Well, Brad, I think -- maybe from a few of the questions, the question is are we being a little conservative about the number that we have, I mean -- I think we're being, as Mark said, prudent about the number. I think the real goals on our part are to continue to make sure that across all of the geographies, the experience associated with people migrating from the perpetual or a licensing version of the product to the cloud is as seamless as possible, and people continue to see the benefits. We are systematically dealing with all of the concerns that people had on the cloud. With respect to pricing, we are offering new options for new customers. We're showing the value. And so I just think, again, in the overall context, this is so early in the space. I think we are very pleased with what we have. We have very high ambitions for how we continue to grow this business. But when we give our targets, we give it based on what we are seeing so far.
Brad A. Zelnick - Macquarie Research: Appreciate it. Just a follow-up, another variation on the question that Kash and Jennifer had both sort of asked about the market opportunity, such a tremendous opportunity ahead of you. And if you think about that base of perpetual product that's still out there, all of which seem to be candidates to bring over to Creative Cloud, if you segment that by this huge opportunity by product version, geography, demographic, all the different ways in which you look at the market, where are you seeing outside success? And which segments are proving more difficult to penetrate?
Shantanu Narayen: Well, when we look at the various offerings, I think the individual offering was the first one that we introduced. And I think it's fair to say that the most developed Internet-savvy countries are where we are seeing the greatest adoption. So North America is doing really well with it. The other places that you might expect, like the U.K., continue to do well. So on the individual side, I would say it's sort of following the level of Internet sophistication that exists and infrastructure, frankly, in each of these different places. Enterprise is doing very well right now. I think the enterprise customers see the benefits of all being on the same version of the product. And again, I would say while North America leads the pack, we're seeing more success in the enterprise space around the world. Team did really well. I think that was the third offering that we introduced and Team is also continuing to do. So I would say international continues to be an area of opportunity upside for us, and the developed Internet markets are doing quite well.
Operator: The next question comes from Steve Ashley with Robert W. Baird.
Chaitanya Yaramada - Robert W. Baird & Co. Incorporated, Research Division: This is Chaitanya Yaramada for Steve Ashley. As you mentioned earlier, the enterprise ETLA numbers are not included in the subscription count, so if you can just help us sort of understand what proportion of the total base is being covered by those ETLA numbers? And I know you mentioned that it's been a little more than what you had expected. That'd be helpful.
Mark S. Garrett: It's Mark. Yes, we don't break out the enterprise ETLA portion in terms of customer number. Some of those deals are, frankly, a little complicated in terms of the number of users and how enterprises might count them, so we don't look at it quite that way. I mean, you see the success in enterprise ETLAs through the ARR number, which you can kind of back into. And you also see it, frankly, in the deferred revenue number. I mean, a huge portion of that jump that you'd see in deferred revenue is coming from the enterprise ETLAs.
Chaitanya Yaramada - Robert W. Baird & Co. Incorporated, Research Division: Okay. I guess I was just looking for a very high-level color on eventually -- or maybe 2, 3 years, what you might expect the proportion to be, if you can help us. Is it 10%? Is it 40%? Or is the ARR representative of where we think it should be?
Shantanu Narayen: Well, we've said in the past that if you look at the licensing component of the perpetual business, 30%, 40% as sort of with different products, that was the nature of the percentage of what was being sold into the enterprise. I think we've also told you that some people who do what may have been considered Team are now doing Enterprise. But that hopefully gives you a ballpark estimate of what the overall opportunity is.
Operator: The next question comes from the line of Mark Moerdler with Sanford Bernstein.
Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division: Two quick questions on it. Mark, can you give us a sense of the growth in revenue from existing digital marketing clients' year-over-year contract? I think I'm looking at how much more you're able to sell to the existing clients and how that's changed over time? And I'll give you a second question.
Mark S. Garrett: Yes, sure, Mark. I mean, we're clearly selling more into the install base. I mean, we've said that we have the opportunity to drive more products per customer through the adoption of now the 6 solutions that we have, and that's been a big focus of ours. So there's still a very big opportunity to drive more usage of our 6 solutions within the install base and then continue to grow the install base as well. But -- I mean, there's a lot of headroom left to just sell into the existing install base.
Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division: But no sense yet of numbers or any data to give us a sense of how that -- how successful it's been so far?
Mark S. Garrett: Not yet, Mark.
Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then a second question is you mentioned on the Team versions going to ETLAs a bit. Can you give a little more sense of how we should think about that? Is that going faster than you expected? There are a lot of them moving over that were historically Team opportunities going to ETLAs. Do you think that's going to get bigger going forward?
Shantanu Narayen: I would say it's small in the grand scheme of things, Mark. And I think if you look at the targets that Mark provided with respect to the 3 million subscriptions by the end of fiscal '14 and what we have as $1.85 billion in ARR, again, you can back into what we currently have in terms of expectations on those 2 separate customer segments.
Operator: The next question comes from Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Shantanu, Mark, I'd like to ask first about your thoughts on the outlook for Doc Services, ARR and DPS ARR. With respect to the Acrobat part of it, when you look at it historically, the cumulative base for Acrobat was some fairly large multiple of the Creative base, perhaps 5 or 6 times as large. And you even take into account the much lower ASPs for Acrobat historically versus the Creative products. If you had some reasonable attach rate, let's say, of subscription within the Acrobat base, is there a case to be made that the ARR could become nearly equivalent or similar to the Creative ARR? And then similarly, on DPS, which you're now including, over the last year, you saw the download volume go through DPS grow by about 100 million digital editions, or about 2 million a week. How are you thinking about that in volume -- in terms of your forecast for DPS ARR? Then one quick follow-up.
Shantanu Narayen: Let me take those, Jay. I mean, I think with respect to Doc Services, if you look at the install base, you're right, the install base of people who bought Acrobat over the years is clearly very high. I think we've always mentioned that the Document Services customer segment is probably going to have the balance -- I mean, the ratio of perpetual to subscription continue to be lower than it will be for the Creative segment. And so I think that's what we're continuing to model. We're pleased with the new Document Services that we're providing. Services like EchoSign, as well as services like the ability for people to actually do things like create PDF or export PDF online. And so I think we've guided to $250 million in Document Services ARR. I think it's very healthy. We continue to focus on it. But I think it'll be a slower ramp in that particular space relative to Creative. When you look at the DPS side, DPS is doing well, and we saw the initial customer segment via the media and publisher segment. We're really focused a lot more on corporate. That was what we were trying to say in the prepared remarks. And the use cases for the corporate segment are so much more diverse and varied. Again, whether it's corporate magazines, catalogs, brochures, training material, educational material, mobile applications, there, Jay, tends to be a little bit more of, rather than on a per-download basis, it's just the ability for them to have a server-based environment for their entire enterprise. So there, we're not tracking as much of the digital downloads as we would for the traditional media and publishing customers.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Okay. My follow-up is with regard to the Digital Marketing bookings expectations of 30% or more. How much of that is -- or if the higher-than-previous forecast is specifically attributable to Neolane and what kind of upside momentum are you seeing in CQ? What was day?
Shantanu Narayen: Well, the Adobe Experienced Manager solution continues to do exceedingly well. I think the re-platforming of the web phenomenon is only accelerating and that everybody realizes they need a mobile-ready, tablet-ready personalized web infrastructure, and we have the best one on the market. So Adobe Experience Manager continues to do really well. With respect to the acceleration that we expect to see, I think a large part of that is driven by having the most comprehensive integrated offering. And I think that's where you're going to see Adobe place most of its emphasis on the marketing side. Certainly, in Neolane, Adobe Campaign now helps fill another void and helps us upsell within the enterprise to the chief marketing officer. But I think our confidence is based on having the most comprehensive integrated offering.
Operator: The next question comes from Phil Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Just want to focus on some of the last -- previous questions on the marketing side. I guess my question is sort of how far you want to continue to extend the marketing cloud? Just this morning, we saw a marketing competitor buy kind of somewhat into the commerce space, at least on the edges. We've seen SAP do the same with Hybris and Oracle and ATG. How much, I guess towards the back office and the back end, considering that commerce bridges the gap between the back-end and the front-end marketing, do you want to go, considering that some of your competitors are doing the same?
Shantanu Narayen: Thanks, Phil, first for your comments on the quarter. I think as it relates to the marketing emphasis that we have, you're right. Multiple people are coming at it from the IT point of view, from the advertiser, as well as from the marketer. And we feel actually very good about what we have with respect to our current marketing offering. We will continue to also look at partnerships as a way to extend it. You mentioned SAP with Hybris. We have a great partnership with them. We think HANA is great technology that allows us to also integrate. But at this point, we feel like our offering is really very comprehensive. We have 2 new initiatives that we also have done. We've announced an audience manager, which is people enabling to start to think about what might happen in a cookie-less world; a media mix solution to think about what the optimal marketing spend should be. So I think there are so many areas for us to continue to extend our current offering. Extending into what would be more traditional IT-led areas or -- is not really an area of focus for us, just given how much expansion we have and the ability to partner with companies, like I said.
Philip Winslow - Crédit Suisse AG, Research Division: Got it, got it. That's good to hear. I keep focusing on the CMO versus the back office.
Operator: The next question comes from Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: I wanted to follow up on a prior question about Neolane, and I was curious whether Adobe Campaign manager with the Neolane edition -- Neolane is seeing any change in its competitive success rate now that it's part of the bigger marketing cloud.
Shantanu Narayen: Again, I would say it's early. Yes, certainly, I think there's no question that our brand of Adobe put behind great technology, like what Neolane had, now part of Adobe Campaign, is going to enhance their opportunities. So I think there's no question around that. We are with some disruptive pricing that we've introduced. I think we're going to have a unique opportunity to upend that with the orchestration. So yes, we are in more RFPs than I think Neolane would have ever been. Neolane had a very strong presence in France. They really didn't have a much stronger presence outside there, and that's something that we can certainly bring to bear. If you look at all of our existing customer base, the blue chip list for all of our other solutions now represent a pipeline for us to go in. And so I think there is upside with respect to that opportunity for us.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: Great. And, Mark, just one last one for you. Both you and Shantanu made comments about the new user that you're attracting with the move to the cloud. Is there any way to, as we look at the subscriber, the new subscribers you're adding, to get sort of a ballpark of what percent are coming from the installed base versus what percent are new?
Mark S. Garrett: The truth is, it's hard to get that data, specifically because we don't survey people to bog down the sign-up process. We're confident we're attracting new users, but it's very hard to quantify exactly what that is. But we are very confident we're attracting new users.
Shantanu Narayen: Well, thank you all again. Thanks. And thank you all for joining us on the call. I think there's no question that Adobe is in better shape as we enter FY '14 based on the execution that we demonstrated last year. It's nice to see that we're ahead of the metrics we announced, not just the annual numbers we provided last year, but the analyst meeting in November 11 as well, when we started this transition. And we reflect that no company has gone through a transition of this magnitude. And for us to be ahead of our goals, I think demonstrates the value we're providing to our customers. And the confidence in both the strategy and our ability to execute, enables us to be optimistic about our growth prospects for the next 3 years. Thank you again for joining us today.
Mike Saviage: And this concludes our call. Thanks for joining us.